Operator: Good morning and welcome to the Norwegian Cruise Line Holdings Second Quarter 2019 Earnings Conference Call. My name is Catherine and I will be your operator.  As a reminder to all participants this conference is being recorded. I would now like to turn the conference over to your host Ms. Andrea DeMarco; Vice President of Investor Relations and corporate communications. Ms. DeMarco please go ahead.
Andrea DeMarco : Thank you Catherine and good morning everyone. Thank you for joining us for our second quarter 2019 earnings call. I'm joined today by Frank Del Rio, President and Chief Executive Officer of Norwegian Cruise Line Holdings; Mark Kempa, Executive Vice President and Chief Financial Officer; and Andy Stuart, President and Chief Executive Officer of Norwegian Cruise Line. Frank, will begin the call with opening commentary. After which Mark will follow to discuss results for the quarter as well as provide updated guidance for 2019 before handing the call back to Frank for closing remarks. We will then open the call for your questions. As a reminder this conference call is being simultaneously webcast on the company's Investor Relations website, at www.nclhlcdinvestor.com. We will also make references to a slide presentation during this call which may also be found on our Investor Relations website. Both the conference call presentation will be available for replay for 30 days following today's call. Before we discuss our results, I would like to cover just a few items. Our press release with second quarter 2019 results was issued this morning and is available on our Investor Relations website. This call includes forward-looking statements that involve risks and uncertainties that could cause our actual results to differ materially from such statements. These statements should be considered in conjunction with the cautionary statement contained in our earnings release. Our comments may also reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release and presentation. And with that I'd like to turn the call over to Frank Del Rio. Frank?
Frank Del Rio: Thank you Andrea and good morning everyone. For those that have followed our company and the industry over the years, the second quarter of 2019 was certainly one that will be long remembered. In the case of Norwegian Cruise Line Holdings, the quarter will be remembered for our strategic itinerary optimization initiative which included our entry into the new European home port and the launch of our largest Alaska deployment to-date with Norwegian Joy making her North American debut and joining her incredibly successful sister ship, Norwegian Bliss in saving to the last frontiers. The North American launch of Norwegian Joy was a runaway success, generating over $2.5 billion media impression and further elevating Norwegian Cruise Line's already preeminent position in the all-important growing and high-yielding Alaska market.
Mark Kempa: Thank you, Frank. Unless otherwise noted, my commentary compares 2019 and 2018 net yield and adjusted net cruise cost, excluding fuel per capacity day metrics on a constant-currency basis. My prepared remarks will also delineate the impact from certain headwinds including the change in Cuba regulations and a technical issue on Norwegian Pearl early in the third quarter.  I am pleased to report yet another record quarter one where the company generated the highest second quarter revenue and earnings in its history. As you can see on Slide 5 adjusted EPS grew 7.4% over prior year to $1.30, primarily as a result of our revenue outperformance in the quarter which was driven by exceptionally strong onboard revenue and strong well priced close-in bookings. If not for the $0.06 impact from the Cuba regulation change, adjusted EPS would have exceeded our prior guidance by $0.03 or 12.4% growth over prior year. Turning to Slide 6, net yield increased 5.8% or 5% on an as-reported basis versus prior year outperforming guidance expectations despite 50 basis points of headwind from canceled Cuba sailings. This growth includes 100 basis points of corporate net yield dilution from Norwegian Bliss while she sail -- primary sails in the lower-yielding Mexican Riviera region, all of which was consistent with our expectations. If not for the Cuba impact, net yield would have increased to 6.3% or an 80 basis points beat versus our guidance. This strong growth comes on top of prior year's solid net yield growth of 4%. Turning to cost, adjusted net cruise cost excluding fuel increased 6.1% versus prior year and 5.1% on an as-reported basis. Costs exceeded guidance for approximately 85 basis points which was entirely due to certain one-time charges in connection with the Cuba regulation change. Excluding these, costs would have been slightly favorable versus guidance as a result of timing in the quarter. Total fuel expense was in line with expectations as fuel consumption savings offset an increase in our fuel price per metric ton net of hedges which came in at $493. Turning to Q3, I'll direct you to Slide 7 to review deployment highlights. In the third quarter, our Europe mix is approximately 42%, an increase from prior year due to the addition of Norwegian Pearl. Alaska mix increased to approximately 21% as a result of the repositioning of Norwegian Joy while Caribbean is approximately 18%. Looking at expectations for the third quarter, core business fundamentals are strong despite headwinds in the quarter. In addition to the impact from Cuba, we experienced a technical issue on Norwegian Pearl in early July which affected approximately one month of a premium priced peak summer sailings in the Mediterranean. This issue impacted earnings by approximately $0.07 per share primarily in the topline. To demonstrate the strong underlying core performance of the business, I'll direct you to Slide 8 which contains our third quarter guidance together with the impact from the aforementioned headwinds in the quarter. Net yield is expected to increase approximately 1.75% or 1.5% on an as-reported basis and is net of an approximate 300 basis points impact from both Cuba and at their Pearl voyage disruption. This comes on top of strong prior year growth of 4% which included the benefits of premium priced Cuba sailings compared to the current year which now includes lower priced Bahamas cruises that will have to be filled in a very condensed sales cycle. Turning to costs. Adjusted net cruise cost excluding fuel is expected to be up approximately 8.25% or 7.75% on an as-reported basis. This is the highest growth quarter of the year, primarily due to incremental marketing expenses associated with Cuba and operating expenses associated with Pearl's voyage disruption which combined are expected to account for approximately 300 basis points of the increase. In addition we have the scheduled 18-day dry-dock at Oceania's Regatta as part of OceaniaNEXT Reinspiration program versus no dry-dock days in the prior year Looking at fuel expense. We anticipate our fuel price per metric ton net of hedges to be $492 with expected consumption of approximately 195,000 metric tons. Taking all of this into account, adjusted EPS for the third quarter is expected to be approximately $2.15 which is inclusive of an expected $0.29 impact from both Cuba and Pearl. Exclusive of these headwinds, adjusted EPS guidance would have been $2.44 or 7.5% increase over prior year all on flat capacity growth. Turning to the full year, I'll walk you through the components of the revised adjusted EPS outlook on Slide 9. Topline outperformance in the second quarter combined with a stronger revenue outlook for the back half of the year resulted in an $0.08 benefit to the full year. Fuel, interest, and other savings accounted for approximately $0.04 and these benefits were offset by a $0.45 impact from the Cuba change and the $0.07 impact from the Pearl technical issue. As a result, we now expect adjusted EPS to be in the range of $5 to $5.10. If not for the $0.52 combined headwinds from both Cuba and Pearl, our guidance would have been in the range of $5.52 to $5.62 or a 13% increase over prior year and would have exceeded the high-end of our guidance range provided in May. Looking at expectations for other key operating operations on slide 10. Net yields for the year is expected to increase approximately 2.6% or 2.1% on an as-reported basis, despite an expected impact of 180 basis points from Cuba and Pearl. If not for those headwinds, net yield growth would have been 4.4% and implies an increase to the back half of the year of almost 50 basis points versus the prior implied guidance for the same period. Adjusted net cruise cost excluding fuel is expected to be up approximately 4.5% or 4% on an as-reported basis. The 100 basis point increase versus prior guidance is primarily due to the impact from Cuba and Pearl. Looking at fuel expense, we anticipate our fuel price per metric ton, net of hedges, to be $487 with expected consumption of approximately 840,000 metric tons. Looking ahead to Q4, our implied net yield guidance is flat to prior year, which is inclusive of an approximately 330 basis points Cuba impact. It is important to keep in mind that we are rolling over Norwegian Bliss's successful inaugural Caribbean season out of Miami in 2018. This year, she sailed a mix of Mexican Riviera and New York based winter Caribbean sailings while Norwegian Encore will take her place in Miami with a partial quarter of sailings. As such, the combined yield performance of Bliss and Encore resulted in an expected dilutive impact to our corporate net yield of approximately 125 basis points. Focusing on the fuel environment. We continue to strengthen our hedge program and during the quarter increased our overall portfolio and also entered into our first swaps for 2022. While there is still a small amount of uncertainty in connection with a new IMO regulations coming online in 2020, we continue to expect our 2020 total fuel expense, net of hedges, to be on the higher end of our typical range of 6% to 7% of gross revenue. This is consistent with our expectations and is driven by an increase in volume from capacity growth as well as higher pricing. In addition, we continue to take advantage of the interest rate environment and we recently executed a two-year $450 million, costless collar to further minimize potential volatility in that line. This increases our fixed debt ratio from 75% to approximately 82% Looking ahead to the broader outlook for 2020, while it is too early to provide guidance we do want to provide an estimate of the flow-through of the Cuba regulation changed to 2020 earnings. Based on our best estimates today, we believe the impact to be approximately $0.20 to $0.25, which primarily represents the loss of the premium pricing on the top line that our Cuba sailings garnered versus similar Bahamian or other itineraries. That said, despite the impact from the regulation changes, we continue to be on a strong path towards achieving our full speed targets that we laid out at Investor Day in May of last year. Focusing on shareholder returns, we have previously communicative that we would take a balanced approach in returning to shareholders $1 billion to $1.5 billion of capital through year-end 2020 via share repurchases and/or potential initiation of quarterly dividends. Despite our continued outperformance, the earnings multiple for our company has contacted to record or near-record lows, which we believe reflects a significant disconnect between our share price and our long-term value and future growth profiles. Hopefully, Frank's earlier commentary regarding the strength and consistency of our business fundaments alleviates the concerns that are weighing on our valuation. In the meantime, with our stock trading at a more than 50% discount to the S&P 500 average, we continue to use opportunistic share repurchases as the primary vehicle to return to shareholders. We continue to look forward to a time, when our stock price reflects the long-term strong fundamentals of our business. But given today's evaluation our Board of Directors believe that the most efficient way to return capital is through the opportunistic share repurchases, while still maintaining focus on our desired leverage targets. With that, I'll hand the call back over to Frank to provide closing commentaries.
Frank Del Rio: Thank you, Mark. As I previously mentioned, Norwegian Encore remains the best booked Caribbean-introduced ship in the Norwegian brand's history, handily outperforming sister ship Norwegian Escape debut back in November of 2015 in both the number of cabins sold and in pricing. On slide 11, you can see some of the highlights that have helped stoke demand for Encore sailings. From the exciting thrills at the aqua park, the Encore Speedway, the high-tech Galaxy Pavilion and laser tag course, the new culinary introductions such as Onda by Scarpetta. With a ton of our next call we will have welcomed Norwegian Encore to the fleet, and she will be making her way to New York City to begin a two-week introduction tour that will include a variety of special events capped-off by her inauguration in Miami on November 21. Encore's debut along with that of Seven Seas Splendor in February of 2020, the record booked position at higher prices at all three of our brands, the full year benefit of Norwegian Joy sailing itineraries in the West and the expected exploration of cash generation, and capital returns to shareholders as part of our full speed ahead targets, lay the foundation for 2020 to be more than just another milestone year. Before handing the call over to Q&A, I'd like to leave everyone with a trio of key takeaways from today's commentary, which appear on slide 12. First and foremost, we delivered record results in the second quarter despite the external headwinds discussed. Second, our core business fundamentals are stronger than ever with 2019 on track by record year and 2020 following in her footsteps. Lastly, we are well positioned to achieve our 2020 full speed ahead targets. And with that, I'd like to open up the call to Q&A. Operator?
Operator: Thank you, Mr. Del Rio.  And our first question comes from Felicia Hendrix with Barclays. Your line is open.
Felicia Hendrix: Hi. Thank you. And thank you for all those colors. Very helpful and a confusing quarter and good quarter. Either Frank or Mark, I just wanted to circle back to the $0.45 impact from Cuba, which was that of the high end of your previously disclosed range I was just wondering if you could maybe talk about the different parts, moving parts in that number? And how come you came in that -- what drove you towards the high-end versus maybe being able to mitigate some of the impacts given how strong your business is? And while we are on the topic of mitigation, just wondering Mark with the $0.20 to $0.25 impact next year, just from the redeployment of the Cuba cruises, wondering how you would characterize that outlook. Do you think that there would be ways to further offset that number and if not on the top-line maybe some of the things you are seeing on the fuel side? Thanks.
Frank Del Rio: Sure. Thanks, Felicia. So Cuba happens what June 4th, June 5th. We put out a guidance range, our best estimate I think three days later maybe on the fourth day. And, obviously, it was a very fluid situation. We had estimated $0.35 to $0.45. And I think the important note I tend to keep a notice that roughly one-third of our Cuba sailings were our high-ends brands combined with Oceania and Regent and the remaining were Norwegian. So not only did we issue significant refunds through voyages I believe that were through September, we also canceled the remaining voyages for the year. So we -- number one first and foremost, we wanted to make sure that we were taking care of the customer. And as we move forward, Cuba can be thought about in two parts. There's the premium of that Cuba guest over a similar itinerary, which I think we have set traditionally is in the zone of 25 plus percent. But then there's the short-term impact, which is really the dilutive nature of having to redeploy that capacity in another short market and starting from a zero passenger base. So while we’re leaning on the high end right now, it is a short cruise market. We are seeing positive signs. We're not concerned and we're going to do everything in our power to improve that number. As we roll over to 2020, again I think it's very important to keep in mind that over 30% of that capacity with Cuba intensive high-end brand impact. So while we estimate right now that the impact is $0.20 to $0.25, it's early. We are going to strike hard to beat that. And, of course, we're always looking at our cost line to figure out, is there ways where we can mitigate. That’s something we never stopped doing.
Mark Kempa: If I just may add, Felicia that as we look to mitigating impact of Cuba in 2020. There are two items that we’re hopeful. It can be better than what we are estimating today and that is the redeployment of the Oceania vessels to the Mediterranean, Eastern Mediterranean, Southeast Asia and the back half of 2020 and how well Norwegian Sun performance in Alaska. It will be our third consecutive year of double digit growth in the Alaska market. On one hand it shows you how bullish we are in the Alaska market. We think of that we've got the best product mix there and believe that this introduction is slightly different type of product, smaller vessel, more itinerary intensive that will do well. Any itinerary has the potential to match Cuba yields, it's Alaska.
Felicia Hendrix: And Mark just to understand what you said with the $0.45 impact that you're forecasting this year from Cuba that actually as we cycle through the year could end up being better if things work out better than expected? 
Mark Kempa: Yes. I think the point is that, again a lot of the -- this is a short cruise market. We have some visibility, but it's a close-in booking window. We are not something right now, but we are seeing positive signs that hopefully we can beat that.
Felicia Hendrix: Great. Thanks so much.
Operator: Thank you. And our next question comes from Harry Curtis with Instinet. Your line is open.
Harry Curtis: Hey good morning everyone. Frank and Mark, I'm trying to make sure that our numbers are right on what the earnings power in 2019 would have been, had Cuba and the mechanical issue not occurred. And you are sailing your more traditional -- so the $0.07 for the pod malfunction has been called out. And am I right in thinking that between the pod and Cuba that your normalized earnings would have been closer to roughly $5.40 a share? 
Mark Kempa: I think Harry you're probably a little bit light there. I think if you refer to slide 9 on our deck, if Cuba and the Pearl which is the combined impacts of $0.52 have not happened, we would have guided in the zone of $5.52 to $5.62 or a $5.57 midpoint. That would have been -- a year-over-year growth on roughly 2.5% capacity growth for us this year. 
Harry Curtis: Right. So that's assuming that you would have that -- say the Oceania ship and the Regent ships were sailing in the Caribbean and you still would have been able to achieve a $5.55, $5.60 level? 
Mark Kempa: No. No. We -- look Cuba is an impact and we really took it on the chin hard with the upper brand. So the fact that they are either sailing in the Caribbean or they're doing some other exotic itineraries, we can't absorb all of that. But again had Cuba and itself had not changed, we would have been looking at a 13% year-over-year EPS growth. 
Harry Curtis: Okay. So -- but what I'm trying to do is get to the middle ground assuming that your ships were on a more normal Caribbean sailings and our numbers are coming to roughly $5.40?
Mark Kempa: Yes. I think, I see what you were saying. So we said that we are assaying $0.45 impact from Cuba. I think if you parse that out there is roughly $0.10 to $0. 12 of that is really onetime operating costs and the nature of port obligations that we have to extend an incremental marketing expense. So if you take that out and that gets you into the $0.35 zone, that's all your revenue impact. And then what - the way to think about that is, that's combining the true premium of the Cuba itinerary versus an alternative itinerary, but in that there's also the piece that is the dilution because you have quick sailings on starting from a base of 0 in a very short sales cycle. So I think when you rolled out over to an annualized basis that's where you get to our $0.20 to $0.25 impact.
Frank Del Rio: The other I would like to add impact, on a normal basis we wouldn't have had the Oceania and Regent ship at the Caribbean tier of operation to begin with. So it's a little bit not apples-to-apples to say well if you had always had to ships in the Caribbean without Cuba what would they have been. They would never been in the Caribbean. You don't put high-end vessels in the Caribbean basin in the peak summer months. It's just not where the best and highest use of vessels.
Harry Curtis: And then the related question is for 2020, you're so confident in double-digit earnings growth. And do you have any sense of what the increment could be if you deployed maybe $1 billion plus to share repurchase to your earnings growth? And that's all for me. Thanks.
Frank Del Rio: Yeah. Look we're still targeting -- we're still comfortable with double-digit earnings growth. And I can't comment on potential share repurchases in the future. That's purely up to our board but it's certainly something we're looking at.
Harry Curtis: Okay, very good. Thanks fellows.
Operator: Thank you. Our next question comes from Steve Wieczynski with Stifel. Your line is open.
Steven Wieczynski: Hey, guys good morning. So I think if we me simplify all this – all the noise that’s out there around Cuba and the Pearl, and if we go look back and look at your original yield guidance back in February, I think your yield guidance was 3% to 4%. And I think now if we exclude all that, you're basically at about 4.5% if my math is correct. And for the most part your cost assumptions are only up slightly. So I guess my question is what’s been the biggest delta around that original yield guidance and where we sit today? Is it been a specific market? Is it on board or is it just a combination of a lot of different factors?
Mark Kempa: Well yes. Thanks Steve. I think, first of all, yes you're right we’re targeting about 4.5% if we excluded those items. And that actually represents I think just under a half a point of increase for the full year, but more importantly it also represents almost a half a point of increase in the back half of the year. So I wouldn't say that there’s really been any big delta. We've been continuing to see strength in all of our core markets and we're seeing it's a strong robust demand environment. In terms of onboard revenue, I think we delivered on the face of our financial statements, roughly a 5.5%. And as I say every quarter if you take away the GAAP allocation due to our transfer pricing that number is really closer to about 10% or 11% on a normalized basis. Now a good significant portion of that is driven from the Joy and that accounts for about half of that. So if you strip that out, we're still looking at the zone of 5% to 6% of solid onboard growth. So the consumer is alive and well, they're spending money, they're spending significant amounts on board. Our ATF continues to be up double digits, I thank were up over 11% or 12% on 6% capacity growth in the same period, and we're reselling tons of future cruise certificates on board as I always say. So we see a very healthy consumer who’s willing to spend money.
Frank Del Rio: Yeah. And the way they are spending money has evolved over time. We see greater spending on experiential activities such as short excursions, spa treatments, specialty restaurants and all those are high margin venue if you will and that's helping generate the year-over-year onboard revenue growth that Mark was talking about.
Steven Wieczynski: And then my second question Frank, your commentary around Alaska, which I think is a market that is concerning for a lot of folks, not only investors. But I think some of your competitors as well. I guess why is your commentary so much different around Alaska in terms of how well you guys are doing there? Is it really just a hardware issue at this point? Or is there something else you can may be point to?
Mark Kempa: It's never one thing. The incredible hardware we have in Alaska certainly helped for Norwegian brand. The fact that we have an improved terminal in Seattle, I think the itineraries that we deliver with our Glacier Bay which is the number 1 graded destination in Alaska as you might know, we put the press release out the U.S. park department just issued us the largest number of permits for the next 10 years for our ships to visit Glacier Bay. All of that contributes to a buzz in a marketplace. Travel agents understand that the Norwegian brand would be -- with the observation lounge that we have on Joy and Bliss which is perfect for Alaska cruising; all the high-tech gear that we have on board that the young kids love and as you know the Alaska season coincides with summer vacation for children. There are cruises onboard, Joy and Bliss that have over 1400 children onboard and they are driving all this. And so, there is a great buzz out there about do you want to go to Alaska? You go on Norwegian Cruise Line.
Operator: Thank you. Our next question comes from Jared Shojaian with Wolfe Research. Your line is open.
Jared Shojaian: Hi, good morning everyone. Thanks for taking my question. So I want to drill a little deeper on your fuel comments for 2020. Are you assuming spot IFO and spot MGO prices in that number that 6% to 7% of gross revenue and so that you're not assuming any downward pressure to the price of IFO from IMO 2020 policies? And is there anything more specific you can tell us for next year other than the high end of 6% to 7% of gross revenues? Because ultimately we don't know your revenue forecast and I think even a 10 basis point change in revenue is a pretty meaningful amount to the high end of being 7% or 6.9% which kind really move the needle. So any additional color you can flush out there would be helpful?
Mark Kempa: Yes. Thanks Jared. First on the pricing, no, we do not use the spot rate. We consistently use the forward curves for both U.S. Goldcoast 3% for our heavy fuel oil and we use the gas oil curve as a proxy for MGL. So again, we are taking into account at any given time what the future slopes of the curves look like, at that point in time of the market. In terms of more guidance in 2020, yes we have said it's roughly 6% to 7%. I -- translated that into dollars, you're probably looking somewhere in the zone of, I would say 18% to 20% in terms of dollars over this year, somewhere in that zone think would be a good guide for you to think about. 
Jared Shojaian: Great. Thank you. That's really helpful. And then just one quick follow-up for me, on the 2020 thinking in terms of potential double-digit growth your, 12% ROIC target would seem to imply double-digit growth of something more meaningful than just 10% EPS growth. So correct me if I'm wrong on that, but is that how you're thinking about the 12% ROIC as being double-digit earnings growth more than just 10%? 
Mark Kempa: While -- we've always said double-digit earnings growth. I am not going to elaborate on what that specific number means. But obviously, you are correct. You can calculate back into what our ROIC has to do and we have some work cut out for us. With the Cuba issue that comes right off the top and we have to find offsets for that so. We have to work a bit harder, but as I said in my commentary we're still on a strong path toward meeting targets and we are marching to that end.
Jared Shojaian: Okay, very helpful. Thank you very much.
Operator: Our next question comes from Thomas Allen with Morgan Stanley. Your line is open.
Thomas Allen: Hey good morning. So there are some articles out this week about Venice closing the center of the city to cruise ships. Is that something that you're concerned about? 
Frank Del Rio: Not overly concerned. Issues regarding Venice and big ship have been thrown around for the last decade or so. This year the issue has risen or the volume has risen a bit because of one incident in Venice, this spring in one year incident. And so there are factions within the broad Italian bureaucracy that we want to see some controls over. Big-big ships going to Venice are going down the main canal rather versus others who will understand clearly the economic impact that any kind of restriction of cruise customers would having on the abroad Venetian economy. We have 70 calls in 2019 and about the same number scheduled for 2020 that call on Venice. Half of them are from our Oceania and Regent brands who operate small vessels, who are not it's all impacted by the rhetoric that you're hearing. And there are several alternative berth in and around a Venice that should it come down the to the bigger ships not being able to embark and disembark guests in the same places they do today that are alternatives that can work for the industry. We don't quite frankly expect to see any major changes in the near term. But this is governments, and governments can do anything they want to do. 
Thomas Allen: Helpful. Thank you. And then just -- I was looking at your deployment schedule for 2020 and I know it's small, but you're leaving the Canary Islands and putting more capacity into the Baltic. Can you just talk about the rationale there?
Andy Stuart: Yes. We're always optimizing itineraries and that was an opportunity for us to redeploy a vessel at one of our lower yielding itineraries into a higher-yielding itineraries. It is something that the team has always focused on the winter Canary's itinerary was one that we've been operating. And it's simply being the lowest yielding itineraries we have and you'll continue to see us do that, try to find out lowest yielding itinerary and replace it with higher-yielding alternative. That's how we are generating value of the same-store fleet. It's an ongoing process.
Thomas Allen: Any way to quantify the benefit?
Andy Stuart: Yes I don't have the specific numbers here but its definitely positive.
Frank Del Rio: Definitely a positive move. If you've ever been to winter Canaries.
Operator: Thank you. Our next question comes from a Brandt Montour with JPMorgan. Your line is open.
Brandt Montour: Good morning everyone. Thanks for taking my question. So, another kind of question on 2020. So I know it's still early to talk about net yield growth, but maybe you could just help us by reminding us the broader puts and takes with regards to differences in hardware year-over-year comparison wise?
Frank Del Rio: Well, unlike 2019 where we took delivery of no new ships, 2020 we have in essence a full year benefits of Encore, our newest biggest vessel in the Norwegian fleet. And we have 10 months of Regent Splendor, which will be the by far the highest yielding ship in our fleet and possibly in the industry at the 26% increase in the capacity for the Regent fleets. And as I said earlier she's ahead -- not only is of the ship ahead of any newbuild that Regent has ever introduced, but the brand itself is ahead in load considerably versus this time last year and in pricing. So, those two should be good drivers of yield in their individual brands. Remember the yield conundrum that we have at the each level with big ship coming in from the Norwegian brand that generates incredible EBITDA, incredible cash flow, incredible net income but often times it's dilutive to the corporate yield. So this is where we stress to the analyst community, the investor community that you want to look at our bottom line growth and our top line growth, but don't get hung up on yield growth necessarily, because sometimes it gives you a false indication of what the strength of the business is.
Brandt Montour: Okay, great Thanks. And then shifting gears. So the commentary in a release on the script about share repurchase and capital allocation preferences there, how does that change the equation if at all when thinking about the boy’s intention to eventually implement the dividend?
Frank Del Rio: I didn't -- can you repeat the last part? The intentions of what?
Brandt Montour: The intention to eventually implement a dividend.
Frank Del Rio: Yeah. Look we are refocusing our allocation strategy. We've said we always wanted to have a balanced approach. But look, we’re trading at record lows, we're trading at eight times forward earnings, which is just a tremendous buying opportunity. So we are not taking dividends off the table. I want to make that very clear, but when you look at the best way to deploy your capital today at today's share prices, it just makes more sense. So we will continue to evaluate that with our board at each quarter and we'll advise you accordingly.
Mark Kempa: Nothing will -- they initiate a dividend when the price of the stock the multiple, more than the price of the stock the multiple, reflects what it should reflect. The fundamentals of this business, of this industry, all the benefits that this industry has that I don't believe the broader investment community is taking into account because if it did, the multiple of our industry and of our company specifically would be significantly greater than today.
Brandt Montour: Excellent. Thanks everyone.
Operator: Thank you. Our next question comes from Tim Conder with Wells Fargo Securities. Your line is open. Our next question comes from Jamie Katz with Morningstar. Your line is open.
Jaime Katz: Hi good morning. Thanks for taking my questions. So, piggy backing on one of the last questions, I guess the implication for 2020 is really that we go back to this normalize spread where yields start to grow faster again than cost. Is there anything on the cost side that we should be made aware of like higher dry dock days next year that could maybe prevent that from happening?
Mark Kempa: Yes, I think we always talked about 2020 that we should be able to achieve some cost leverage just from our scale benefit. When you look at dry docks, I think our dry dock days are slightly up next year. I don't have the exact number in front of me. We do have a lengthy dry dock for the Norwegian Spirit in the Q1. So I think we’ve said consistently, we’re going to have about 8 to 10 dry docks per year as our fleet -- some of the bigger ships get into their 5-plus years of age. But in terms of costs we are leveraging. We are going to continually -- it's not something we do when there is a winner’s pressure on the business. Every day we are looking at where we can find efficiencies and where we can now leverage our scale. And we do that in the name of not impacting the brand, not impacting the customers and not impacting the quality of the product we are delivering. So we're certainly focused on that and we're going to work hard to continually push on that front. 
Jaime Katz: Okay. And then just on a housekeeping basis, it looks like the capacity growth next year is expected to be 8.8%. That was up from last quarter, it was 8.2%. But I think there were some changes with Pearl on the second quarter. Is that the only delta? Or is there anything else that has changed for capacity growth next year?
Mark Kempa: Yes, it's really just a function of some of the Pearl that happened this year and then you have some shifting and I optimization of dry docks in next year. So it's just fine tuning of our deployment.
Operator: Thank you. Our next question comes from Steven Grambling with Goldman Sachs. Your line is open.
Q – Stephen Grambling: Thanks for sneaking me in. Two quick follow-ups. First on our Encore, so you did mention you have the best book in Caribbean history. At this point is the net yield trajectory approaching the company average? Or should we still assume a drag from that asset? And then second slide four is pretty interesting. Do you have a mix between relevant and irrelevant supply for 2019? Thanks.
Mark Kempa: Yes, so first on Encore, so Encore this year, if you keep in mind I think she is sailing for about -- about five sailings this year. Two of those sailings are holiday sailings, the other three are really what we call shoulder holiday period sailings which frankly speaking, don't do that well. But as you look forward into Encore in our Caribbean season she is pricing well. She is doing -- again our best Caribbean book to shipped. And at this stage I think what we see right and in the first quarter or so she's going to be somewhere in line with our corporate average yields. If you recall Bliss in Q4 of 2018 exceeded our corporate average yield, so we are very hopeful that and we have a good visibility that I think Encore can do the same. Now she rotates out of the Caribbean into Bermuda for the summer selling season so well that will be a little bit of a shift in dynamic. But again, very powerful engine. And in terms of relevant capacity, are we pulling that number? I'm sorry for 2019 relevant capacity, we look at about 35% and the remainder is not relevant. There's a lots -- and in that relevant capacity there's quite a bit of shifts that are in Asia/China that we believe we don't compete with. 
Q – Stephen Grambling: Great. Thank you so much. Helpful.
Andrea DeMarco: Operator, we have time for one more question.
Operator: Okay our next question comes from James Hardiman with Wedbush Securities. Your line is open.
James Hardiman: Hey good morning. Thanks for sneaking me in here. A couple of clarifications. I guess, the first on Steve question about Alaska. Obviously, mix is playing a pretty big role in Alaska with some new ships there, which given the higher priced itineraries is certainly beneficial. But is there any way, despite all the moving parts in Alaska, to look at like-for-like pricing in Alaska? Is that up this year? And I guess, the reason it's a particularly important question, as we fast-forward to 2020 it's seems like Alaskan capacity is going to be pretty stable. I guess, the question would be, do we still think Alaska is going to be accretive to yields in 2020, just given sort of what's going on in that market?
Andy Stuart: Yeah. I'll give you a little bit of color on that. I'll start with Bliss, because obviously same ship year-over-year. The difference is we're lapping inaugural season. But what's happened in 2019 and in the peak of the season, the pricing is roughly flat here in inaugural season, which is really unusual. So we're very, very pleased with how Bliss has performed year-over-year like-for-like. In the shoulder season, she's in line with our expectations. And as one would expect first ship lapping inaugural season, so Bliss has done well. Joy, sort of, meets the criteria, you mentioned in your question, which is, different ship, but we're very pleased with Joy's introduction. She's well ahead in pricing of the ships she replaced in Alaska, so I'm pleased with Joy. And Jewel, based in Vancouver, the mid-sized ship based in Alaska, is doing very well. Again, in the peak of the season, she's beating pricing year-over-year and in line with expectations outside of the peak. So pretty happy with that. If we look out to 2020, with Alaska's really meeting expectations with higher pricing again. So we're really encouraged with Alaska. I echo Frank's comments that the new ships in Alaska, it was time for new ships in Alaska. And these ships in particular have been a very, very well received. So I'm pleased with this season, optimistic for the outlook. And really see the Norwegian brands with these new ships is leading that market. 
Frank Del Rio:  And I may add that we won't have the challenges of selling Joy, a very large ship in a very abbreviated 8, 9 month booking cycle like we did this year when we announced her departure from China. We have a regular 18, 24 month booking cycle in front of us. So that's certainly going to help Joy in particular, but also whatever bleeds through there for the rest of the fleet to having more normal booking cycle for Alaska. So thanks everyone for your call, your participation -- did you have a follow-up I'm sorry?
James Hardiman: I did, if I could fit one in here real quick, Frank. So, slide four I thought was a really interesting way to look at the whole capacity conundrum, the relevant versus the non-relevant. Maybe speak to how that's trended in terms of the relevant, because it's less about the absolute number in terms of capacity and more about how it's trending. If we look back to previous years and then the next handful of years, is relevant capacity accelerating meaningfully? Or is it pretty stable in terms of where do you…?
Frank Del Rio:  I think if you go backwards to 2017, 2018 and 2019, there would be more blue than black, because in prior years there were less ships going to China, less ships going into the national brands that we discussed and the expedition market almost didn't exist. Going forward, I would expect if I had 2022, 2023, 2027 in there, my guess is that probably would be roughly 50/50, no worse than 45/55 going the other way. So it's going to stay relatively flat I believe. Again capacity growth is an overblown metric that at this point and everyone's involvement in the industry I can't believe it's still out there. This is a grossly underpenetrated industry, less than 4% of the world has cruised, less than 2% of the world spend on hospitality, they spend on cruises. There are more hotel rooms in Orlando and Las Vegas combined than there are cabins in the world cruisely. I don't know how many more examples I have to give you. We take on 26% growth in one particular brand and it's full at higher prices. So find some other excuse because this one is just not a good one to focus on.
James Hardiman: Perfect. Thanks, Mark.
Frank Del Rio: All right. Thanks everyone. This concludes today's call. And as always very thankful for your time and your support. I'll see you next quarter.
Operator: This concludes today's conference call. You may all disconnect. Everyone have a great day.